Operator: Thank you for standing by. This is the conference operator. Welcome to the Cerrado Gold 2025 Q1 Financial and Operational Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mike McAllister, Vice President, Investor Relations with Cerrado Gold. Please go ahead.
Mike McAllister: Thank you, operator, and good morning, everyone. I'd like to note that this call may contain forward-looking information that is based on the company's current expectations, estimates and beliefs. Please review the slide and other forward-looking information contained on Page 2 of today's presentation as well as in the company's Annual Information Form, which is publicly available on SEDAR+ and the company's website. The accompanying presentation for today's call is available for download from the home page of the company's website at cerradogold.com. The accompanying press release is also posted on our website and on SEDAR+. Please note that all dollar amounts mentioned on today's call are in U.S. dollars unless otherwise noted. And as mentioned, following management's presentation and remarks, there will be a Q&A period. Joining me on today's call are Mark Brennan, CEO and Chairman; Jason Brooks, Chief Financial Officer; David Ball, Vice President, Corporate Development. With that, I'd like to now turn the call over to Mark Brennan, our CEO.
Mark Brennan: Thank you very much, Mike, and thank you very much, ladies and gentlemen, for joining us for our Q1 conference call. We've had a really good quarter. We're really starting to see some strong developments coming out of the second quarter. And so, really looking to provide some really good updates in terms of our initiatives that we're working on. First, I'd like to introduce Jason Brooks, our Chief Financial Officer.
Jason Brooks: Thanks, Mark. So, turning to Slide 3 of the presentation. In the first quarter, Cerrado produced 11,163 gold equivalent ounces, or GEO ounces, as compared to 11,204 ounces in Q1 of 2024. In the first quarter of 2025, 7,228 of those GEO ounces were produced at the heap leach operation, which is an increase of over 6,000 ounces year-over-year, whereas just shy of 3,000 ounces were produced at our CIL plant for the 11,163 total. This move towards the heap leach -- this was a record production in the first quarter of heap leach production as we move our operations towards the heap leach operation. In the first quarter of 2025, we had adjusted EBITDA of $4.8 million as compared to an adjusted EBITDA loss of $1.1 million in the prior year, which is close to a $6 million increase. The main reason or driver of that increase year-over-year is an $8 million increase in revenue. Much like many of the gold companies in the space, we were lifted by the higher gold prices in the first quarter that we saw, as we realized $550 per ounce higher gold per ounce as compared to the first quarter of last year. All-in sustaining costs in the first quarter were $1,932 per ounce as compared to $2,045 in Q1 2024, which was a 6% decrease. The all-in sustaining cost was lower in the first quarter, primarily due to the higher gold ounces that we sold in 2025 as compared to 2024. These higher ounces were slightly offset by $540,000 higher costs, which is only 2% increase as a result of higher equipment rental costs and associated labor costs. The company is still targeting cost reduction initiatives of $1,500 to $1,700 all-in sustaining costs per ounce going forward. The balance sheet continued to improve during Q1. The cash balance remained strong at US$20 million, while debt levels and payables continue to fall. During the quarter, we made the following reductions in our liabilities: we repaid $4 million decrease in our promissory notes in Argentina, a $3.4 million decrease in trade payables, a $2 million decrease in short and long-term payables, as well as $1 million decrease in future consideration payable, which is our payable to the sellers. And then, on April 1st, the company made our final payment to the MDN sellers, reducing an additional $5 million, excuse me, in debt. The focus remains on ramping up the heap leach production. The target production is 4,000 to 4,500 GEO ounces, gold equivalent ounces, per month, and we're planning on starting underground production in the third quarter. Once that production starts, there's an underground exploration program that will follow. Open pit drilling program at MDN, we're going to start an open pit drilling program of -- excuse me, 20,000 meters, which will hopefully produce a target of 300,000 to 700,000 further ounces at the mine. And with that, I'll turn it back over to Mark.
Mark Brennan: Thank you, Jason. So, as a corporate whole, we continue to focus on strengthening of our balance sheet. We expect to see a significant reduction in our balance sheet to the end of the year. So, we're making very strong progress with that. And then, on top of that, we continue to see our production ramping up. As discussed, we've increased our guidance from 50,000 to 55,000 ounces to 55,000 to 60,000 ounces, and we're very comfortable with those new numbers. Largely in part at MDN, we've completed the crushing -- a new crushing circuit, which basically now takes us up to about 450,000 tonne capacity per month, which will give us a good redundancy in case any of the crushing systems go down on the main circuit. Crushing has been a bit of a tough crack for us for the past year or so, and we're now very confident that we'll be able to push to that 4,000 to 4,500 ounces per month that Jason was describing. On top of that, we're looking at some high value-add, strong growth initiatives focused on, first of all, expanding our resource and life of mine at MDN. We're just in the process now of starting a new 20,000-meter drill program. This is focused on open-pit resources at Paloma East as well as looking at Calandrias and some other areas. So, we expect to see this program culminating in -- by the end of the year. And as Jason mentioned, we're targeting about 300,000 to 700,000 ounces of inferred resources by the end of the year. So, this should be a tremendous improvement to our life of mine and improve our ability to expand our resources in production. We're also commencing an underground operation. We currently are -- we'll be moving below the Paloma pit. It's been de-watered. We've already ordered and are receiving initial equipment, portal development has started. And we anticipate that we'll see a ramp-up of development and production beginning as early as June. We'll be developing an ore initially and then looking to mine exclusively in high-grade veins. So, we're very excited for that for two reasons. One, we'll get some initial production, which we'll look forward to expand our production. And two, it will enable us to go underground for exploration. Very little exploration has been done at the underground at Paloma. And what we anticipate is a very strong program to look at, again, finding substantial high-grade, high-value ounces below the Paloma pit where we are today. The current production target will be about 5 grams per tonne, just over 5 grams per tonne, but when we were mining the bottom of the Paloma pit, in the Sulfuro Vein, basically, we are mining at anywhere between 8 to 12 grams per tonne. So, we're very hopeful that we'll be able to expand our resources with high-grade ounces underground. On top of that, we're looking at -- with respect to Lagoa Salgada in Portugal, we're just coming to the end of our very successful metallurgical test program. So, that's been a very strong success. We expect our environmental impact assessment approval imminently. We have received initial notification that the approval process is coming to its conclusion. And so, we'd be able -- we expect to be able to announce that very shortly. And that will follow up with the feasibility study sometime in the July-August period, with the publication of the feasibility report in August. Likewise, we will look to a construction permit through the [indiscernible] process in Portugal to receive a construction authorization in November or sometime in the -- late in the fourth quarter. And at that time, we expect to look at moving to a construction decision, which we anticipate the strong results that we expect from the feasibility to be a go. We will start construction, basically, we're targeting for the first quarter of 2026. Simultaneously, we're continuing to drive our feasibility study at Lagoa -- sorry, at the Mont Sorcier project in Quebec. Again, this is a high-purity, high-value iron ore project that we see tremendous economic benefits coming from. So, from that perspective, by the end of the year, we expect to have a very, very strong balance sheet and financial position. We expect to have concluded our development cycle for Lagoa Salgada, and we expect to see that project into the construction mode and fully funded. We are continuing at MDN with some very high-value initiatives that I think will be transformational in terms of valuation for the asset, and we continue to drive this very high-value Mont Sorcier iron ore project in Quebec. With that, that's the conclusion of our initial remarks. I guess, in terms of -- if we can ask the operator to suggest if there are any questions available.
Operator: Certainly. [Operator Instructions] The first question comes from [Steve Cooney] (ph), Investor. Please go ahead.
Unidentified Analyst: I'm sorry about that. I misunderstood the instructions. Please ignore.
Operator: Since there are no questions, this concludes -- we have a question from [indiscernible]. Please go ahead.
Unidentified Analyst: Okay. Thank you. Mr. Mark Brennan, thank you for your effort in developing Cerrado Gold. I'm [indiscernible]. I have several questions. First, being the Minera Don Nicolas project, from your plan, I see that you will develop -- you will increase resources faster than your production. So, is there -- do you imagine a higher production rate, maybe in three years from now in Argentina? And second, my question is regarding the project in Portugal. The Lagoa Salgada project is a special project in Portugal, but I see several other projects in Portugal that, in current regime, they don't get permit easily. But Portugal has rich resources endowment. So, do you have a plan for project in Portugal -- for other acquisition project in Portugal? That's my two questions. Thank you.
Mark Brennan: Thank you very much, Ahmed, for your question. I'll begin with MDN. Indeed, what we're anticipating and just to reiterate, we're hoping the open-pit operations alone, the exploration program on the open-pit exploration really to add about 300,000 to 700,000 ounces. We view that as conservatively adding at least three to seven years in terms of range to our life of mine, which would give us a very healthy and substantive mine life. This does not include any potential expiration that we -- success that we have at the underground at Paloma. So, from that regard, we're hoping to see a very substantial increase in our resources by year-end. Just to remind everybody, we're producing 55,000 to 60,000 ounces per year currently. Our expectation, our hope is that we can grow our mine life first, and then second of all, look to expand on that production base. We have a 1,200 tonne per day CIL plant that is largely unutilized and underutilized. So, from that perspective, we have the capacity to produce a lot more. That's the importance of having high-grade material going through that plant. It will really just add substantially to our bottom line and reduce our operational costs dramatically. So, yes, we are also within the Deseado Massif belt that is prolific in gold endowment. We have people around us. Pan American are sitting on a large resource and have mined probably a total of about 2 million to 3 million ounces to date from Cerro Moro. Cerro Vanguardia was mined -- Anglo's project to the south of us, it's mined about 7 million to 8 million ounces to date. Newmont, the Cerro Negro project has about 6 million to 7 million ounces in inventory. So, we believe that we're very much at the beginning of the cycle for MDN and think there's a long future ahead of us. As it applies to your question with regard to permitting in Portugal and Lagoa Salgada, we feel very similar to MDN on this project. First of all, we will have the strong support of the local and the federal government. We're a project of national interest or PRIN project, which means that we have the strong support of the local community, the local government, as well as the federal government. And we expect to see our EIA permit announced within the coming days, if not weeks. So, we're very optimistic about that. As you mentioned, there are other projects. In the north, it is a little bit more complex getting permitting. But in the South, we have Aljustrel, less than an hour away, which is a fairly significant zinc operation. We also have the largest mine in Europe with Neves-Corvo, which is now owned by Boliden about 45 minutes away as well. So, we're in a jurisdiction that welcomes mining that sees the benefits of mining. And so, our perspective is that we -- again, we're the new kids on the block, just like we are in the Deseado Massif with MDN. So, we see lots of potential. Will we look at other assets in Portugal? Probably not. Our perspective here is that Lagoa Salgada is still very, very young. We've only done 40,000 meters of exploration drilling. We've demarcated 27 million tonnes of resource. That's a tremendous yield on drilling. But we think that there's multiples and multiples of resources to come from this project. Our philosophy was to get a sufficient resource to go and drive production. And then, from there, what we would do is we would look at driving our exploration on the back of cash flow generated from production. So, our expectation is, again, that we'll be in construction in the first quarter. We're just completing an EU initiative called UNDERCOVER, which is a significant seismic and geophysics-based program. They'll be spending about €3 million on the project on evaluating deep targets both at near mine and also greenfield areas of the Lagoa Salgada project. So, as quickly as the end of the summer, we could see some very substantive targets coming our way. And this is a very, very sophisticated undercover geophysics program that's being utilized by the EU and sponsored and paid by the EU that we think we'll see some good growth potential and exploration targets from. So, long story short, we see multiple expansion of our resources and don't really feel we need to be looking at new targets in Portugal.
Unidentified Analyst: Yeah. Okay. Thank you so much, Mark Brennan.
Mark Brennan: Thank you, Ahmed.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mark Brennan for any closing remarks. Please go ahead.
Mike McAllister: Thank you, operator. And thank you, everyone, for joining us today. Just a reminder that the replay of this presentation will be available on our website in the coming days. And again, the presentation is also available on our website underneath the Investor Presentations section. With that, that concludes the call. Thank you, operator. Please terminate.
Operator: This brings to close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.